Operator: Good day, everyone, and welcome to the Global Partners First Quarter 2025 Financial Results Conference Call. Today's call is being recorded. All lines have been placed in listen-only mode. [Operator Instructions] With us from Global Partners are President and Chief Executive Officer, Mr. Eric Slifka; Chief Financial Officer, Mr. Gregory Hanson; Chief Operating Officer, Mr. Mark Romaine; and Chief Legal Officer and Secretary; Mr. Sean Geary. At this time, I'd like to turn the call over to Mr. Geary for opening remarks. Please go ahead, sir.
Sean Geary: Good morning everyone and thank you for joining us. Today's call will include forward-looking statements within the meaning of federal securities laws, including projections and expectations concerning the future financial and operational performance of Global Partners. No assurances can be given that these projections will be attained or that these expectations will be met. Our assumptions and future performance are subject to a wide range of business risks, uncertainties and factors which could cause actual results to differ materially as described in our filings with the Securities and Exchange Commission. Global Partners undertakes no obligation to revise or update any forward-looking statements. Now, it's my pleasure to turn the call over to our President and Chief Executive Officer, Eric Slifka.
Eric Slifka: Thank you, Sean. Good morning everyone. We had a strong first quarter across the company, generating healthy year-over-year growth across our key profitability metrics. Product margin in our wholesale segment was up from the prior year, reflecting strong execution by our teams, a favorable market environment and the successful integration of additional terminal assets. Since the end of 2023, we have continued to invest in and optimize our terminal assets, expanding our midstream footprint to more efficiently serve our throughput and wholesale customers. These enhancements strengthen our ability to link refined liquid energy products with downstream markets, supporting the evolving needs of suppliers and customers in today's dynamic energy landscape. Our gasoline distribution business benefited from healthy fuel margins, supporting strong overall performance. Ongoing portfolio optimization resulted in a decrease in company-operated sites reducing our station operations product margin year-on-year in the quarter. By maintaining financial discipline and carefully directing our capital, we are able to invest in accretive organic growth and selective acquisition opportunities while continuing to consistently return cash to unitholders. In April, our Board increased our quarterly cash distribution on common units to $0.7450 per unit equating to $2.98 on an annualized basis. The distribution will be paid May 15th to unitholders as of the close of business on May 9th. With that, now let me turn the call over to Greg for the financial review. Greg?
Gregory Hanson: Thank you, Eric, and good morning, everyone. As I review the numbers, please note that all comparisons will be with the first quarter of 2024, unless otherwise noted. Looking at our key profitability metrics. Net income for the first quarter was $18.7 million versus a net loss of $5.6 million last year. EBITDA for the first quarter increased to $91.9 million from $56.9 million and adjusted EBITDA increased to $91.1 million from $56 million in the prior year period. Distributable cash flow was $45.7 million in the first quarter compared with $15.8 million in the prior year period and adjusted ECF was $46.4 million compared with $16 million last year. The primary growth driver behind these results was the strong performance of our wholesale segment. It's important to provide some context for the year-over-year comparison. As a reminder, in Q1 of 2024, certain products in our wholesale segment were negatively impacted by the timing of mark-to-market valuations, which were then fully recovered in what was a very strong second quarter last year. In contrast, the timing and magnitude of mark-to-market impacts were minimal in Q1 this year, meaning our reported results more closely aligned with the strong performance of our core operations. TTM distribution coverage as of March 31, 2025, was 2.03 times or 1.96 times after factoring in distributions to our preferred unitholders. Turning to our segment details. GDSO product margin increased $0.2 million to $187.9 million in the quarter. Product margin from gasoline distribution increased $4.2 million to $125.8 million primarily reflecting higher fuel margins year-over-year. On a cents per gallon basis, fuel margins increased $0.02 to $0.35 in Q1 2025 from $0.33 in Q1 2024. Station operations product margin, which includes convenience store and prepared food sales, sundries and rental income decreased $4 million to $62.1 million in the first quarter of 2025. The decrease was due in part to the sales and conversions of certain company-operated sites, consistent with our ongoing strategy of portfolio optimization. At quarter end, we had a portfolio of 1,561 sites, a decrease of 40 sites year-over-year. In addition, we operated or supplied 66 sites under our Spring Partners retail joint venture. Looking at the Wholesale segment. First quarter 2025 product margin increased $44.2 million to $93.6 million. Product margin from gasoline and gasoline blend stocks increased $27.4 million to $57.1 million, primarily due to more favorable market conditions in gasoline. Product margin also benefited from the 2024 acquisitions of terminals from Gulf Oil and ExxonMobil, which were acquired in the second and fourth quarters of 2024. Product margin from distillates and other oils increased $16.8 million to $36.5 million, primarily due to more favorable market conditions and distillates and winter weather that was on average 9% colder than the prior year period. Commercial segment product margin increased $0.1 million to $7.1 million. Looking at expenses. Operating expenses increased $6.6 million to $126.7 million in the first quarter of 2025, primarily related to our terminal operations and the addition of the Gulf and ExxonMobil terminals in 2024. SG&A expense increased $3.9 million in Q1 2025 to $73.7 million reflecting in part increases in long-term incentive comp, wages and benefits and various other SG&A expenses and a decrease in acquisition costs. Interest expense was $36 million in the first quarter of 2025, up $6.3 million from last year, primarily due to higher average balances on our credit facilities related to our terminal acquisitions in 2024. CapEx in the first quarter was $17.9 million, consisting of $9.6 million of maintenance CapEx and $8.3 million of expansion CapEx, primarily related to investments in our gasoline stations and terminals. Our balance sheet remains strong at March 31st, with leverage as defined in our credit agreement as funded debt to EBITDA at 3.28 times and ample excess capacity in our credit facilities. We had $354.7 million outstanding on the working capital revolving facility and $167 million outstanding on the revolving credit facility. Before I turn the call back to Eric for closing comments, let me review our upcoming Investor Relations calendar. This month, we'll be participating in EIC's 22nd Annual Energy Infrastructure Investor Conference. And in June, we'll be participating at the Stifel Cross Sector Insight Conference and the BofA Energy Credit Conference. If you're attending one or more of the events, we look forward to meeting you there. Now, let me turn the call back to Eric for closing comments. Eric?
Eric Slifka: Thank you, Greg. As we look ahead, the power of our scale, the resiliency of our integrated model and the creativity of our people position us to just not weather disruption, but to find opportunity within it. We are confident in our strategy, focused on disciplined execution and committed to delivering long-term growth for our unitholders. Now, Greg, Mark, and I would be happy to take your questions. Operator, please open the line for Q&A.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Selman Akyol with Stifel. Please proceed with your question.
Selman Akyol: Thank you. Good morning. Congratulations on a very nice quarter. Just wanted to start off with, and I understand the GDSO, the high grading of it and sort of repositioning the capital, I guess, into the terminals. Can you just maybe talk about -- and I know it's a continuous thing that goes on, but can you just talk about the opportunity you're seeing for continuing that as well as potential acquisitions or what you're just seeing out there? On the terminal side as well?
Eric Slifka: Yes, I mean, I think, Selman, basically, we're always reviewing our retail business, and we're looking at our assets, and we're looking at the most efficient or best way to operate or supply those assets. It's not a static environment, and we continue to look at them. But as we acquire assets and operate them, we may take decisions later on that optimize the value that we can generate from those assets. I wouldn't look at it as repositioning capital per se to terminals and the way I really think of it is we're trying to be opportunistic and do what is best at that moment in time. So if there -- look, M&A is busy. It's busy at every level, whether that's terminal or whether that's retail. And it's really about finding the right deal that fits the company that we think competitively advantages us and allows us to make a somewhat higher return. And so those are the places we're going to continue to focus on and try to be competitive.
Selman Akyol: Got it. Thank you for that. And then could you just talk a little bit about the market conditions that allowed wholesale to do so well and then currently what you're seeing in the marketplace?
Gregory Hanson: Yes, I can start, and Mark can fill in anything I missed Selman. It's Greg. A couple of things. One, it was a nice cold winter up here in the Northeast, which definitely helped our wholesale distillate business. We've had two back-to-back warm winters. It was 9% colder. And then it was really the integration of our terminaling assets, the ExxonMobil terminal in East Providence and the Gulf terminals that really added to our additional capacity on the wholesale side and allowed us to take advantage of market opportunities that were out there. So, I think it was a nice normalized quarter for us. I mentioned in my points that last year was -- there was definitely some mark-to-market that impacted us in the first quarter last year. So it was a tougher comparison. We didn't do as bad as it looks like last quarter. We just -- in the first quarter of 2024, we just got that back in 2025. But I think really, it was a nicely -- nice quarter that was optimized around the integrated assets we've had on the terminaling side. And I don't know, Mark, if you have anything to add there?
Mark Romaine: No.
Selman Akyol: Let me just ask in terms of just sort of timing and tariffs and all that, was there anything -- any dislocation up there in the Northeast markets where you were able to take advantage of?
Mark Romaine: Yes. Selman, it's Mark. The tariff -- there was a very brief period of time. It was probably two days when the tariffs apply to Canadian oil and oil from Mexico, Canadian oil specifically more relevant to us. But very brief, created some volatility, which often benefits us, but it was very short-lived. And right now, there's really no impact from a supply or a market condition standpoint, the only thing we're thinking about relative to how tariffs may impact us is perhaps as it starts to affect the consumer, it may have some impact on our store sales, but that's yet to be determined. I think if it's going to impact us, it will impact us there. From a supply and a margin and optimizing the business, not a real impact.
Selman Akyol: Got it. Okay. Appreciate the color. Thank you so much.
Eric Slifka: Thanks.
Operator: Thank you. Mr. Slifka, there are no further questions in the queue. I'll turn the floor back to you for any final comments.
Eric Slifka: Thank you for joining us this morning. We look forward to keeping you updated on our progress. Enjoy the rest of your spring, everyone.
Operator: Thank you. This concludes today's conference call. You may disconnect your lines at this time. Thank you for your participation.